Operator: Good afternoon. My name is Stacey, and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Corporation Second Quarter Fiscal Year 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn call over to our host, Ms. Candace Formacek. Ma'am, you may begin.
Candace Formacek: Thank you, Stacey, and thank you for joining us. George Freeman, our Chairman, President, and CEO; and David Moore, our Chief Financial Officer, are here with me today and they will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone-taped replay. It will remain on our website through February 2, 2016. If you're listening to this call after that date, or if you are reading a transcription, we have not authorized such recording or transcription. It has been made available to you without our permission, review or approval. We take no responsibility for such presentation. Any transcription inaccuracies or omissions, or failure to present available updates, are the responsibility of the party who is providing it to you. Before I begin to discuss our results, I cautioned you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year ended March 31, 2015, as well as our Form 10-Q for the second fiscal quarter of 2016, which was filed today. The factors that can affect our estimates include such things as customer mandated timing of shipments, weather conditions, political and economic environment, changes in currency, industry consolidation and evaluation and changes in market structures or sources. Finally, some of the information I have for you today is based on unaudited allocation and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on this measures including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. We are pleased with the performance of our operations in the first half of this year which has progressed as expected given the lingering effects from an oversupplied market. Our results for the sixth month ended September 30, 2015, include higher sales volumes, lower overhead cost, and better overall margins in our key operating regions due in part to efforts in recent years to improve efficiencies and reduce cost in our business. In addition, we continue to support supply chain efficiencies such as in Poland where we recently announced an agreement to assume processing of tobaccos in crop year 2015 for a major customer, giving rise to improve processing efficiencies in that country. Now, turning to the results detail. Net income for the first half of fiscal year 2016 which ended on September 30, 2015, was $16.5 million or $0.40 per diluted share including restructuring and impairment cost of $2.4 million, $0.07 per share. Last year's comparable results were $15.7 million or $0.35 per diluted share and included a nonrecurring income tax benefit of $8 million or $0.34 per share and restructuring cost of $3.4 million, $0.09 per share. Excluding those items in both years, net income for the sixth month increased $8.1 million or $0.37 per share compared to the same period last year. For the second fiscal quarter ended September 30, 2015, net income was $22.5 million or $0.81 per diluted share compared with net income for the prior year's second quarter of $15 million or $0.48 per share. Consolidated revenues decreased modestly for both the first half and second fiscal quarter compared with the prior year on a combination of higher volumes, lower average green leaf prices, and lower processing revenues. The Other Regions segment operating income increased by $15.3 million to $26.4 million for the first half of fiscal year 2016. Sales volumes were higher for the period as sales from carryover crops in Africa and higher volumes in Asia helped mitigate declining volumes in the Europe region, while South America saw positive cost comparisons in the first half of the year from the suspension of operations in Argentina last year. Selling, general and administrative expenses for the segment declined mainly on the absence of last year's large value-added tax valuation provision, lower incentive compensation costs and the impacts of a stronger U.S. dollar on local currency expenses. Those reductions were partially offset by higher net currency remeasurements and exchange losses and costs incurred in the second fiscal quarter to settle challenges to property rights and valuation of attractive forestry land. North America segment operating income improved as well, increasing by $1.2 million compared with the first half of last year on higher domestic volumes, mainly from carryover crop sales in the first fiscal quarter, offset by modest declines in processing revenue and less favorable product mix. The Other Tobacco Operations segment operating income decreased by $2.8 million to $1.1 million for the first half of the fiscal year compared to the prior period. Earnings improved for the dark tobacco operations on higher volumes, as well as better margins and lower compensation costs. That improvement was offset by reduced earnings for the oriental joint venture due to lower volumes, partly resulting from later shipments this fiscal year and higher currency remeasurement losses. In addition, the special services group incurred losses primarily on continuing startup costs for the new food ingredients business. Looking forward, we still anticipate that total lamina sales volumes from the current year's crops will slightly exceed those of last year. Similar to last year, we expect strong shipments in the second half of the fiscal year, but this year we expect that heavier volumes will ship in the fourth fiscal quarter. Due to this later timing, and depending upon factors such as port and container availability, some shipments may fall into the first fiscal quarter of 2017. We are monitoring weather conditions around the world that will likely have a negative impact on 2016 crop quality and production levels. As a result of the recent heavy rains and hail in southern Brazil from an El Niño weather pattern, we have reduced production projections for both flue-cured and burley in that country by about 8%. The smaller crop sizes could decrease our buying program there next year. The same weather pattern may also affect Africa, decreasing rainfall and impacting crop sizes and quality. We believe that the combination of this weather pattern and reduced plantings in some origins will bring markets largely into balance in fiscal year 2017. In addition, construction of the processing facility for our new food ingredients business has been substantially completed, and we expect to begin commercial production in our third fiscal quarter. As we begin the second half of our fiscal year, we believe we are well-positioned with low-uncommitted inventories and a strong balance sheet, and note that we continue to reward our shareholders as evidenced by our 45th consecutive annual dividend increase announced earlier today. At this time, we are available to take your questions. Stacey, can you open the line for questions, please?
Operator: [Operator Instructions] And we'll pause for just a moment. Your first question is from Ann Gurkin.
Ann Gurkin: Hello to everybody. Hi. How are you doing?
Candace Formacek: Hi, Ann.
Ann Gurkin: Fine. I want to start with Candace. Your comments you just made about margins in the quarter were better in key growing areas. Can you talk about the drivers behind those margin improvements?
Candace Formacek: Well, I think mainly you tend to see some improvement from volume increases in general. And I think as well, we continue to work on cost improvements in many of the origins.
Ann Gurkin: Okay. And...
Candace Formacek: Yes. I would also...
Ann Gurkin: Then I want to ask about...
Candace Formacek: As one more point, there are currency effects that have decreased the local currency costs in some of the origins as well.
Ann Gurkin: Okay. Okay. And then your comment that lamina sales will be up slightly. What's the change – to change that statement?
Candace Formacek: I wouldn't say that's particularly a change. So, I think maybe a refinement as we get further into the year. As I said as well, we're kind of looking at the timing of this year. We wanted to make sure that we indicated that we do see an increase in the lamina for the crop year. But whether it falls into the fiscal year or not, it's going to be largely dependent on the shipping patterns and ability to move a lot of those shipments out, which are committed inventory at this point, but they'll be going out at the end of the fourth quarter.
Ann Gurkin: Okay. And then I guess, from what I understand, there is a buildup of what I call, RTL, reconstituted tobacco leaf inventory by some customers. And is that impacting orders for virgin leaf or timing of shipments of leaf for any of your customers? Can you comment on that at all?
George Freeman: No. I can say that I haven't heard of that or felt the effect, so I'd say I haven't seen that. Okay, it may be true but I definitely have not felt the effect.
Ann Gurkin: Okay. And then related to China, can you talk about that market with volumes down in that market, volumes are weak or cigarette volumes. Any comments on at least purchase patterns from that market. Any change in expectations there?
George Freeman: No change. I assume that they have been on a program the last couple of years that I think they'll stay on for the next few, so I really don't see a big change, at least on their nondomestic purchases.
Ann Gurkin: Okay. Great. And then like seeing the share repurchases. Is that a two-year program? I'm sorry if I missed that.
Candace Formacek: Yes, it is. Yeah, it's sort of, as we typically been for the last few rounds. Expiring in November of 2017.
Ann Gurkin: That's what I thought. Okay. And then, what tax rate should we use, any change?
Candace Formacek: It's lower for the six months, but that will be diluted over the year. For the current fiscal year, I would guess 33% to 33.5%.
Ann Gurkin: Okay. And then, Candace do you have a worldwide uncommitted leaf inventory numbers?
Candace Formacek: Well, the worldwide number, I can't recall which one we gave you last, but we don't have an update yet from the June 30 quarterly update. We don't have in September, but it's $130 million as of June 30, which is an estimate of worldwide unsolved flue-cured and burley.
Ann Gurkin: Okay. Great. Congrats on your results. Thank you very much.
George Freeman: Thank you.
Candace Formacek: Thank you, Ann. Have a nice evening.
Operator: [Operator Instructions] You have a question from Bryan Hunt.
Bryan Hunt: Good afternoon.
George Freeman: Hello. How are you today?
Candace Formacek: Hey, Bryan.
Bryan Hunt: Thank you for entertaining my questions. I was wondering about your cautionary statement. You were talking about whether an availability of containers which might prevent you from meeting shipment goals and ship some of your sales in the fiscal Q1. I was wondering, one, have you used that language previously, and I just don't remember? Or two, is there some new reasons that's causing to add that statement this quarterly's outlook?
David Moore: I think we have used the language in the past, maybe a couple of years ago. But clearly, just we haven't seen – we haven't come across any problems, but there've been years where we struggle to get enough containers in Brazil, and we're just worried that with the economic situation down there that there could be – we're worried that because imports are down, but they're theoretically could be an issue of getting enough containers. But, again, we haven't confronted it yet. We're just worried that it could.
Candace Formacek: And I think the combination of time, we do use that language because those are things out of our control that can affect the timing of when the revenues would fall into one fiscal year or the other. This year, we do have strong volumes again in the second half, maybe even stronger in the fourth quarter than before. I will say that by our next quarter, we're going to have a much better visibility into that issue as well. So we're just kind of giving a heads-up on that right now.
David Moore: We could see the same impact in the African markets as well?
Candace Formacek: Right.
Bryan Hunt: Got you. Thank you. Thank you for that clarification. Also, as I look at the dollar to the real relationship, it really deteriorated in the September quarter, and I would assume the tobacco that you bought in the quarter that we're speaking of isn't going to be moved until Q3 or Q4. One, is that a fair statement? And if so, do you – are you expecting greater benefit from currency as we move throughout the year?
George Freeman: So, yes. So by September, we – well, on the purchase side, we have essentially finished purchasing when we had the massive devaluation, but obviously a lot of costs are real-based costs. So, of course, that would – you could get some relief there.
Candace Formacek: That's right. And this processing continues and local costs will continue to be affected by that. There are also hedging programs that we have there that help us to mitigate some of that movement in dealings with the customers as well as other balance sheet hedging programs, which we talked extensively about in our 10-Q. So that's another place to go, I think, Bryan, for some of that information.
Bryan Hunt: But, I mean – but if it was a tailwind in this quarter on the purchasing and the processing side, could that tailwind improve as we can in the back half of the year not just from a volume perspective, but also because of the movement.
Candace Formacek: I'd say that generally, when you have that movement, there will be some carry-on effect from that. We can see that move in other directions, say, on the balance sheet side. So, there might be some offset. But typically, we see that comment also referencing our SG&A cost, where you see a lot of this local currency-denominated factors that can improve slightly from that. It is a U.S.-dollar functional entity, so for accounting purposes.
Bryan Hunt: Not only was there weather in Brazil that hurt the crop, but there is obviously weather in the States that hurt the crop as well. I'm wondering what the 8% hit in Brazil and what we've seen in the States and the potential ongoing effect of the El Niño. Is there a chance that we could swing to perhaps a shortage next year in your opinion as opposed to being imbalanced? Or at least do you see a greater likelihood as – of a potential for a shortage.
George Freeman: There's – we sort of think we will get balanced, but I'm not going to make – I mean, who knows what 2017 will bring, but we need to be – 2017 could be interesting.
Bryan Hunt: And when you look at your opportunities to maybe to buy excess tobacco in the current market in light of maybe a swing to tighter conditions. Are you all taking advantage of that situation or were you're uncommitted today relative to – on a kilogram basis, maybe relative to a year ago.
George Freeman: Candace?
Candace Formacek: I don't have a kilogram basis. We do report that on a percentage basis, and that we're about flat with where we were last year on percentage uncommitted at about 15%, I believe, and that's pretty much right in the center of our – up to 20% range that we do keep. So, that tends to be kind of a gating [ph] factor that we feel is prudent to make sure that we don't have an oversupply of the asset. Those are always levels that are there that can be risks, as well as opportunity stock.
Bryan Hunt: And then lastly, shifting gears, you're completed with your preprocessing facility. When do you expect to get the first runs to that facility and begin to generate revenues off the CapEx you spent?
George Freeman: Well, with the [indiscernible] is where we expect the most profitability, and we're almost finished in a week or so. We should be up – I mean, finished with our sort of trial stage, but the issue is then we need to get FDA approval and then we have to go through the various purchasers, quality control programs, and they can take months. So, I would say we don't expect to make much this fiscal year. It's going to be [indiscernible].
Bryan Hunt: Thank you for your time. I appreciate it. And best of luck.
Candace Formacek: Thanks, Bryan.
George Freeman: Thank you.
Operator: And there are no further questions in queue.
Candace Formacek: Very good, Stacey. Thank you, all. I appreciate your time this evening.